Operator: Good day, everyone. Welcome to the TriMas First Quarter 2020 Earnings Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Ms. Sherry Lauderback. Please go ahead.
Sherry Lauderback: Thank you, and welcome to the TriMas Corporation’s first quarter 2020 earnings call. Participating on the call today are Tom Amato, TriMas’ President and CEO; and Bob Zalupski, our Chief Financial Officer. After our prepared remarks on our results, we will open the call up for your questions. In order to assist with the review of our results, we’ve included the press release and PowerPoint presentation on our company website at trimascorp.com under the Investors section. In addition, a replay of this call will be available later today by calling 888-203-1112 with a replay code of 1717727. Before we get started, I would like to remind everyone that our comments today, which are intended to supplement your understanding of TriMas, may contain forward-looking statements that are inherently subject to a number of risks and uncertainties, including impacts from COVID-19. Please refer to our Form 10-K and our first quarter 10-Q that will be filed today for a list of factors that could cause our results to differ from those anticipated in any forward-looking statements. Also, we undertake no obligation to publicly update or revise any forward-looking statements, except as required by law. We would also direct your attention to our website, where considerably more information may be found. In addition, we would like to refer you to the appendix in our press release issued this morning, are included as a part of this presentation, which is available on our website, for the reconciliations between GAAP and non-GAAP financial measures used during this conference call. Today, the discussion on the call regarding our financial results will be on an adjusted basis, excluding the impact of special items. With that, I’ll turn the call over to Tom Amato, TriMas’ President and CEO. Tom?
Thomas Amato: Good morning, and thank you for joining our first quarter earnings call. I would first like to take a moment to thank our TriMas employees around the world for their commitment and dedication during these challenging times. I also want to acknowledge the exemplary efforts of healthcare professionals on the frontlines. We’re grateful for all the sacrifices being made to keep us healthy and safe during these uncertain times. As we reflected at the start of 2020, we need to look back more than a decade to find a time of such unpredictability. In late January, when news of this unknown virus started to emerge, we began taking mitigation steps to manage through what we anticipated would be supply network disruptions. A few weeks of quarantine restrictions in China in early February unfortunately has now turned into the global pandemic that exists today. Let’s turn to Slide 3. We wanted to highlight the current situation related to COVID-19 and the impact on our operations. TriMas has 37 facilities in 11 countries and three continents and we have approximately 3,500 employees. During this period, I have never been as proud as I’m today to be part of such a dedicated team. We’re adjusting new work rules and processes that promote social distancing and improve cleanliness and hygiene. Virtually all of production facilities have operated through this crisis period while experiencing only temporary disruptions. First, the health and safety of our employees remains a top priority for TriMas. As I noted, we have implemented new rules and processes to increase social distancing and improve cleanliness and hygiene in our facilities, in addition to following local regulations and guidelines. During this period of governmental quarantine actions, virtually all of our production locations have been deemed essential. This is the result of the fact that the products we manufacture go into applications that help fight the spread of germs or used in medical, military and defense, food and beverage, or other end markets such as aerospace, which are central markets to national economies. In addition, our balance sheet is strong and we have adequate liquidity, we believe, to withstand this crisis and position TriMas to thrive during the future recovery. Bob will cover this topic in more detail in a few slides. Finally, we’ve had some businesses experiencing very high demand and we’re adding and shifting capacity to different parts of the world to meet this demand. We also have some businesses that are experiencing severe slowdown. While this present some challenges to navigating TriMas through this unprecedented period, our position in a diverse set of end markets also provides our shareholders with balance to withstand a shock such as what has occurred from this pandemic. And turning to Slide 4, I don’t plan to go through each of these points, which are available for you to read and ask any questions on. However, I wanted to ensure our shareholders that given early warning signs in Asia, we took swift actions to change our protocol and subsequently implemented more defensive actions as the pandemic moved through Europe and into North America, all to protect our employees, our businesses, and TriMas. Turning to Slide 5, I would like to provide a little more detail on our businesses in end markets. As a reminder, we completed a sizeable shift in our business portfolio at the end of 2019, reducing exposure to the oil and gas end markets from approximately 25% to now less than 3% of our total revenue. Currently, approximately 55% of our revenue and a larger share of our operating profit is in our packaging segment, where we manufacture products that go into beauty and personal care, home care, pharmaceutical and nutraceutical, food and beverage, and industrial application. As you think about these packing end markets, you can quickly get a sense of the activity we have experienced over the past quarter, given that many of our products are used in application to defend against the spread of germs and support increased cleaning activity. TriMas’ Aerospace segment represents 27% of our sales and we supply to commercial, military and defense, and business jet end markets through a complex supply network. The balance of our business is in Specialty Products segment, where we predominantly supply steel cylinders into a wide variety of end markets, including welding and HVAC, medical and military defense, as well as engines and compressors used in oil and gas. Again, our diverse end market presence is also key to our success, as we believe it provides balance in our ability to deliver long-term cash generation and therefore value to our shareholders. It also highlights that during this crisis period, we have experienced a broad array of impacts across each of our businesses and facilities. Let’s now turn to Slide 6 and cover the results from the first quarter. On a consolidated basis, the quarter was essentially on plan, although the product sales mix of the quarter was different than expected. Overall sales adjusted for currency were up 6%, largely driven by acquisitions in our Packaging and Aerospace segment. Operating profit was $22 million for the quarter, relatively flat as the impact of higher sales was offset by product mix and production scheduling and efficiencies related to operating under this crisis period we are in. EPS for the quarter was $0.34 per share and EBITDA was up by $2 million to $35.3 million and was at 19.3% of sales. So overall, in light of the challenges navigating through the first quarter to the dedication and commitment of our global workforce, we were able to deliver solid results for our shareholders and improve our position as we move forward into the year. If we turn to Slide 8, I will take us through our segment results. For our Packaging segment, net sales were up 13.7% net of currency to just over $100 million, driven by acquisition-related sales and organic growth of 5.3%. Operating profit was essentially flat, while the margin percentage was down as a result of higher sales of certain lower margin dispenser products in the beauty and personal care and in the food and beverage end markets, as well as lower production efficiencies during the period. While the product mix was different than anticipated related to the current demand environment for personal hygiene and cleaning products, this quarter’s higher sales level allowed us to achieve higher absolute EBITDA versus the prior-year quarter, despite temporary idle facilities in early February. We’re experiencing a high demand for many of our beauty and personal care and home care products such as foaming pumps, soap pumps, lotion pumps, and sanitizer pumps, and closure products. Simultaneously, we are actively shifting and localizing capacity to meet customers’ demands to improve the overall supply chain. We expect the increased attention of personal hygiene and cleaning, all to help fight the spread of germs, will emerge as the long-term secular trends that the TriMas Packaging Group is positioned to support well in the future. As such, we plan to continue adding capacity globally. Before wrapping up the section, I did want to note that in mid-April, we completed the acquisition of Rapak, which is a $30 million annual revenue and provider of bag-in-box products used in dairy, soda, smoothie, and wine applications. As noted on prior calls, this is an asset carve-out transaction. But we still have several months to complete the separation and integrate into TriMas, some of which we have to do remotely. With that said, we look forward to the long-term contributions Rapak team will make to TriMas’ Packaging group. In turning to Slide 9, I’ll update our TriMas Aerospace group. Sales for the quarter were up 7.3% to $48.9 million, driven by acquisition-related sales. Operating profit was slightly down versus the prior-year quarter and operating margin was lower due almost entirely to production scheduling inefficiencies and the COVID-19-related matter, which as a precaution, we took steps to pause production and deep clean one of our manufacturing facilities. EBITDA was up slightly due to higher sales versus the prior year quarter. Approximately 90% of TriMas Aerospace’s sales go into the commercial or business jet end markets through a very complex supply network. The balance of TriMas Aerospace’s business is in defense and military. During the first quarter, the rapid fall off in air travel activity did not yet impact TriMas Aerospace’s sales. However, as we move into the second quarter and accept our customers’ activity level, we are planning for demand to be offset significantly. As such, we are taking mitigation steps to flex for the lower-volume activity. While we are unable to predict with any precision the depth and duration of this downturn, we believe the commercial and business jet end markets will continue to be under severe pressure, at least for the next few quarters. With that said, the Aerospace market overall remains critically important to national economies. As we work through this crisis period, we anticipate TriMas Aerospace to ultimately rebound to previous performance levels. If we turn to Slide 10, we’ll review our Specialty Products segment. Sales were off $5.2 million, or 13.2%, not surprisingly driven by lower sales of products that are sold into oil and gas and lower fuel cylinder sales and certain end markets have stalled at the start 2020. Operating profit was at $3.4 million for the quarter, down $1.3 million versus the prior year quarter and EBITDA was at $4.4 million, down a like amount. Despite this segment being hit particularly hard, I would like to highlight that our Norris Cylinder business installed a process to expedite production of cylinders for use in oxygen and breathing air applications. We believe sales of cylinders for oxygen-related applications were about $3 million for the quarter, which helped otherwise offset even lower demand. As we look forward, we have already restructured our operation that serves oil and gas end markets. For example, running weekly production at a one-shift three-day rate. With respect to our steel cylinder facilities, we anticipate further slowing in Q2 and are planning accordingly. However, we also anticipate our Norris Cylinder business will be one of the first to recover from an uptick in the U.S. economy as manufacturing and construction comes back online. With that, I’ll turn the call over to Bob to take us through TriMas’ balance sheet and liquidity. Bob?
Robert Zalupski: Thank you, Tom. I will begin my comments on Slide 12 with the discussion of TriMas’ strong financial position. TriMas exited 2019 with an enviable capital structure and an extremely strong balance sheet. With more than $450 million in cash and aggregate availability under our revolving credit facilities, low leverage and a solid track record of free cash flow generation, TriMas was well positioned to continue executing on its balance capital allocation priorities of reinvestment in our highest return businesses, programmatic M&A and share repurchases. On February 27, we completed the acquisition of RSA Engineered Products, which generated more than $30 million in revenue in 2019, and is now part of TriMas Aerospace. We also closed the acquisition of Rapak on April 17, which generated approximately $30 million in sales in 2019, and which has been added to our TriMas Packaging segment. During the first quarter, we also repurchased 1.25 million shares of our common stock for approximately $31.6 million in a continued return of capital to our shareholders. As Tom highlighted earlier, midway through the quarter, as it became increasingly evident that the COVID-19 crisis was fast becoming a global pandemic, we took swift actions to enhance our liquidity. In addition to suspending our share buyback program to preserve cash, we proactively drew down $150 million on our revolver to protect against any future potential credit market uncertainties. Given that the duration and consequential impacts of this unprecedented crisis are not null, we anticipate maintaining a significant amount of cash on book throughout to defend against unforeseen business risks and economic uncertainties. Turning to Slide 13, I would like to remind you of how TriMas’ business model and capital structure position us to navigate the impacts of the COVID-19 crisis from a liquidity standpoint. Historically, TriMas has consistently generated positive free cash flow. A key characteristic of TriMas’ strong cash generation profile is that, our businesses are not capital intensive. In more challenging economic times like we are now facing, this attribute allows us to scale back spending to mission-critical maintenance capital or key growth programs only, further protecting free cash flow. From a capital structure standpoint, cash interest expense on our long-term bond is fixed at approximately $14.6 million annually. But as a result of currency swaps, which provide a net benefit to TriMas, our cash fixed interest expense is reduced to $11 million for 2020. And as our bonds do not mature until 2025 and have no annual amortization, our free cash flow is not hampered by any significant fixed debt service obligation. And as you would expect, in early February we took swift action in response to the looming crisis to reduce third-party expenses, eliminate all nonessential business travel and related expenses, and implement proactive monitoring of our customer account balances. We generated free cash flow of $1.8 million in first quarter 2020, which was consistent with our planned expectations. More recently, as the crisis impact customer and end market demand, we are flexing cost structures of our operations accordingly to maintain free cash flow. We ended the quarter with cash and aggregates availability under our credit facilities of $337 million, of which $206 million was cash on book. Our leverage ratio as computed under the credit agreement was 2.2 times, as compared to our covenant requirement of 4 times, and our net financial leverage after normalizing for the credit agreement draw was well below 2 times. In summary, our solid capital structure enabled us to fund key capital allocation priorities in the first quarter of 2020, while maintaining a continued strong financial position in anticipation of the challenging times ahead. This concludes my remarks, and I will turn the call over to Tom to wrap up. Tom?
Thomas Amato: Thank you, Bob. In turning to Slide 15, as we consider updating our outlook for TriMas, we have approximately two-thirds of our sales into end markets, which we are able to model based on broad assumptions, such as no further disruption even during this uncertain period. This includes the majority of our packaging-related end markets, military and defense, and even oil and gas, which we don’t see getting worse than it is today. However, we have one-third of our sales, which are in the commercial and business jet, welding and HVAC, and even general industrial end markets for which we cannot model with any precision, we extended the downturn or duration of this crisis. Therefore, we have decided to withdraw our current guidance and suspend updating until we have a better assessment of this portion of our business. We hope to be in a position at the end of next quarter to provide you with a forecast. In turning to Slide 16, we do continue to remain optimistic about the long-term growth and positioning of TriMas and our family of businesses. As we navigate through this uncertain period, it will be our goal to take appropriate realignment actions to mitigate against lower volumes, while also taking strategic manufacturing steps, so we in turn may take early leads when certain end markets start to recover. This strategic approach to recovery will be in addition to what we believe has emerged as a secular trend in certain packaging end markets for which TriMas is well positioned. Additionally, given the years of work to reposition TriMas and reduce our financial leverage, we believe we are poised to take advantage of M&A opportunities that may emerge in this crisis period. Finally, on Slide 17, we continue to rely on the TriMas business model, even more so now. As a reminder, our TriMas business model provides us with a standardized platform for strategically and proactively managing our businesses, escalating issues which are then resolved with a high sense of urgency. Thank you. And with that, I’ll turn the call back to Sherry. Sherry?
Sherry Lauderback: Thanks, Tom. At this point, we’d like to open the call up to your questions.
Operator: Thank you. [Operator Instructions] Okay. And we will take Andy Casey from Wells Fargo.
Andrew Casey: Thanks a lot. Good morning.
Thomas Amato: Good morning, Andy.
Robert Zalupski: Good morning, Andy.
Andrew Casey: A couple of questions. First on visibility. Slide 15 clearly indicated a third of revenue is hard to forecast. I’m wondering, is it the uncertainty in Q2 or is it beyond Q2?
Thomas Amato: It is what I would say mid late Q2 and beyond. I mean, for example, I’ll take one business I mentioned in my script is our Norris Cylinder business. We do believe that that could be a very nice leading indicator for TriMas as to when orders start coming in, because we do anticipate that at some point, hopefully, later this year, we’ll see an uptick in HVAC and construction-related activity and usually that should pull-through some steel cylinders. So that’s something that we’re going to watch closely as we order intake within our Norris operation.
Andrew Casey: Okay, thanks. And with respect to that, could you qualitatively, I guess, talk about order trends through the first quarter and what you may have seen in April?
Thomas Amato: So through the first quarter, we’ll stick principally to that. In our Packaging segment, we saw incredible demand. And this probably occurred, what I would say, a little bit towards the mid late part of the quarter, continuing obviously into April as you would expect, predominantly for the beauty and personal care products that we sell. And one of the challenges we have there is leading the demand. So these are – we’re taking capacity steps not only with our own manufacturing locations, but also with our strategic supply network. Clearly, want to make sure we’re positioned to supply into the demand that we’re seeing. With respect to our next largest segment, our Aerospace segment, although we were seeing and reading clearly the news everybody else was on retail travel being down and flights being down, given the complex supply network that exists within aerospace as it relates to our products, we didn’t quite see any fall off yet in Q1. We’re expecting to see that. We’re starting to see what are called – we call push-outs, when a customer calls, they will have a deal in the system, something will be scheduled for production and various customers might call and say "Look, we would like to defer that a few months or so." So we’re starting to see that cadence pickup. But nonetheless, we’re planning for that business to have lower volume, what I would say sort of mid late Q2 and into Q3. And then in Specialty Products, we have a couple of different businesses in various end markets there, sort of a mixed bag. But to start the year, oil and gas, just never took off and has been beaten down pretty bad. That being said, it’s such a small part of TriMas at this point. That’s only – it’s concentrated in one facility for us.
Andrew Casey: Okay, thanks. And I’m just wondering, on Slide 15, you put industrial packaging in the predictable column and then general industrial in the other one. What is the big difference between the two that makes it easily to predict?
Thomas Amato: That’s a good question. And when we talk about industrial as it relates to packaging, we’re predominantly talking about bulk petrochemical sales that might go into a 55-gallon drum or products that might go into a polymeric, a five-gallon pail. And what we have seen in that – in those types of products actually is a tick up in activity – modest tick up in activity that we believe relate to sanitizer, chemicals that will go into sanitizer, cleaning type products.
Andrew Casey: Okay.
Thomas Amato: And general industrial is for the part that is unpredictable relates to our Norris business, and we have a number of various end markets that are – would almost overlap construction and more general economic-driven.
Andrew Casey: Okay. Thank you. And then last question is more on working capital. I’m just kind of wondering about the increase in receivables and decrease in payables on the balance sheet and the associated negative impact on cash flow. Could you help us understand maybe how much of that may have been related to portfolio change and how much of that could have been end market/operational?
Robert Zalupski: I think it was more operational. So if we look at the accounts receivable side from a testing point of view, as Tom mentioned, sales were very strong. And a lot of those sales occurred in the month of March. So the balance is well elevated, were all current or very much current. And as it relates to payable, probably the biggest driver there, Andy, was in our extended supply network, particularly again in packaging, we were relying on key suppliers. We wanted to make sure that we kept that continuity of supply. And so the relative payment there versus the prior year or the prior quarter was a bit more timely.
Andrew Casey: Okay, thanks. And then just to follow-up on that, Bob. On the payables piece, it kind of sparked the question on the supply chain that you do a bit broadly. Are you seeing any significant impacts either from, let’s say, Mexico shutdown or some potential liquidity issues that you kind of maybe helping people through?
Thomas Amato: I’m sorry, when you – are you talking about now from the supply side or from our customers in Mexico?
Andrew Casey: Your suppliers?
Thomas Amato: We really haven’t seen other than initially at the outset of the pandemic in China, where certain of our facilities, as well as that of our suppliers were shut due to quarantine action. We really haven’t seen, I don’t think, widespread impacts to our supplier network.
Andrew Casey: Okay.
Thomas Amato: But again, it’s still early days in terms of the impact of the crisis, certainly in terms of availability of supply, but demand is very high. And with demand being high, there is dislocation that enters the fray. And as Bob mentioned, we’re taking whatever steps we can to protect the supply of our products and this is something that we manage more than daily. We have teams of people that are working with our strategic supply network confirming POs, confirming shipments, confirming what goes into the system. It is a robust activity we have in place to try to protect our supply. And one other item on the working capital, Andy, is as a result of both the Taplast acquisition and the acquisition of RSA relative to a year ago, those – the working capital of those entities were not in the comparative balances.
Andrew Casey: Sure. Okay. Thank you very much and keep safe, everybody.
Thomas Amato: Thank you. You too.
Operator: And we’ll move on to our next question from Steve Barger with KeyBanc Capital.
Kenneth Newman: Hey, good morning, guys. It’s Ken Newman on for Steve. Hope you guys are healthy and happy.
Thomas Amato: Thank you, Ken.
Robert Zalupski: Yep.
Kenneth Newman: All right. Thanks for the commentary on the April trends on the prior questions. But I did want to circle back to aerospace. I’m just trying to get a better sense of the potential magnitude for aerospace impacts. Obviously, we know that Boeing facilities have started to open back up. So maybe just any color on the conversations around build rates or the face demand over the next few months that you have been having with your customers?
Thomas Amato: Well, the build rates we’re anticipating are not different than what you’re seeing publicly as well. And you know that they’re lower than originally envisioned even as various sites come online. So our – as I had mentioned, the – probably the challenge for us given the nature of where we’re situated in the supply network and the complexity to that supply network, which goes direct, goes to Tier 1, goes to the distributors. It’s a little bit like a spring, where tension is – the spring can elongate and compress on one end and you don’t really feel the effect for a little while. So we do anticipate that as – even as some of our customer facilities come back online, albeit at – ultimate customers come back online, albeit at lower rates of production that there still will be, when it comes to our products and for companies similarly situated as ours, volumetric impacts until things get in balance again. And I don’t know, as I sit here today, I don’t – we don’t know what the ultimate demand will be and we don’t know the length, the exact duration of how long it will take to bring things in balance. And it’s just a function of the aerospace supply network; it’s not a just in time type of market.
Kenneth Newman: Right. I completely understand that. It kind of leads me to my next question, which is, I guess, still a difficult topic, given all the demand uncertainty right now. But obviously, with all the moving parts from re-segmenting in aero and specialty, I know you made some investments into some capacities for North American facilities and I think you’ve mentioned some investments for capacity within packaging. Can you just kind of give us a framework about how you’re thinking about the operating leverage or what operating leverage is done through April? I just want to make sure that may be kind of get the right cycle of framework in terms of what margins could really look like, what the volumes can be like last year?
Thomas Amato: I would say that, again, that’s a challenging question depending on which segment of the business we’re in. We have a bit more clarity with packaging, obviously, because demand levels are higher. But again, the demand levels, they’re mixed by the different types of products and what facilities they’re manufactured. And so – and from an operating leverage standpoint, I think, it’s being impacted currently by the production inefficiencies we see due to whether it’s absenteeism, scheduling disruptions with customers or suppliers. So, it’s really hard to specify what that would be. And then I think in our other two major businesses, Aerospace and Norris Cylinder, because we’re in the early phases of how demand is declining, it’s hard to know exactly where that will bottom out and accordingly how we’ll flex cost structures to align accordingly. So, I think, that’s a long way of saying, it’s probably too soon to tell in those two segments.
Kenneth Newman: Yes, I understand. It was worth asking the question even though I know it’s really difficult at this point. One more from me. In terms of the packaging, you called out the margin headwind between mix and some of the inefficiencies. Any way that you can kind of quantify what was more mixed versus what the margin headwind was from those operational inefficiencies?
Thomas Amato: There really isn’t a way to do that effectively. I would say in terms of mix, the acquisition of Taplast did contribute to a portion of that margin decline. That’s something that, of course, we anticipated at the time. And beyond that, I would say, maybe one-third, two-thirds in terms of mix or inefficiency versus mix, it’s all numbers.
Kenneth Newman: That’s very helpful. Thank you.
Operator: [Operator Instructions] And it appears we have no further questions – oh, I spoke too soon. We have a follow-up question from Steve Barger at KeyBanc.
Kenneth Newman: Hey, guys, thanks for taking my follow-ons here. Just curious, do you have a CapEx target for 2020? I know that you’re expecting to reduce it for the year?
Thomas Amato: Well, we have a CapEx target. But as Bob mentioned, we’re certainly going to flex some of that as we look at some of the actions that we want to take and see lower volume in our business. But that being said, we’re certainly going to stay with our cadence to add capacity in North America. There is actually even within the Aerospace segment some steps we’re taking where we have a facility that just is too small for us and we have to relocate to another facility. And actually, we’ll take a period like this and we’ll accelerate that type of relocation, which otherwise would have been oddly enough very difficult to do in a high-volume environment. So we will take advantage of this period of time, where volume is a little bit off or will be off. And we’ll take some strategic footprint manufacturing steps to position us for in a rebound that will gain us operating leverage on the other side.
Kenneth Newman: Right.
Thomas Amato: So to your specific question, I didn’t answer that on the target. I think, we originally guided around 4.5%. I think, it’s probably getting closer to 3%, 3.5% and will take 100 bps out easily and we will sort of be in that range.
Kenneth Newman: That’s helpful. Last one on packaging, can you just remind us how much of packaging sales are to those health, beauty and home care products that are seeing some increases due to the pandemic? And I’m just curious about your thoughts about how you view maybe this as a potential just to pull forward in demand that maybe gets more offset once some of these pandemic issues subside?
Thomas Amato: Yes. It’s a good question. It’s one that we talk about internally. We have – it’s not an insignificant amount. We look at just our beauty and personal care products. And if we throw, what I’ll call pharma and nutraceutical in with that and home care in with that. So if you look at beauty and personal care, pharmaceutical or health, whatever you want to call it, and home care starts to approach nearly 50% of our sales. It’s just on the shy side of that. So it’s a major part of our business. And as I consider, what I’ll call a shift in secular trend, a secular trend emerging from this, I just think, people, it doesn’t matter if you’re in a developed country or in an underdeveloped country, your – people are going to wash their hands more. They’re going to consume more soap products. That then leads to the need for more lotions, because now your hands are drier. I think all of us are getting knuckles that are dry from washing our hands 20 times a day.
Kenneth Newman: Yes.
Thomas Amato: So these are all products that we supply. I don’t think that that is something that although there was a blip that occurred during this particular crisis, there was also an ability to get those products to consumers. So there still, in my opinion, is a demand out there that’s not yet satisfied. Moreover, I think, as you talk to the larger CPG companies, they’re preparing for a long-term trend in this area as well, at least, that’s what they’re asking us to prepare for. In addition to that, I think, when it comes to home cleaning, when it comes to industrial cleaning, I believe people will be taking – paying more attention to that. These are not trends that are just related to the first and second quarter related to COVID-19. I do believe the world has changed forever. And the attention to these things has changed forever. We’re suited particularly – we’re positioned particularly well for those trends today and we’ll continue investing in those products, so we can meet our customers’ demands.
Kenneth Newman: Now that’s a good point. And I guess, as a follow-on to that, I mean, as you think about what new normal could look like after the pandemic kind of passes, how much visibility do you have into channel inventories? And how do you kind of think about balancing inventories versus potential oversupply for some of these products granted maybe there isn’t a structural permanent increase in demand for some of these?
Thomas Amato: For much of TriMas’ business, so packaging and aerospace, that’s a very challenging question for us to get at. I would say within the Packaging segment, it does not feel to us yet like there’s a ton of oversupply just based on the order intake and demand levels we’re seeing. If there is an oversupply, I’m not sure quite where it is yet.
Robert Zalupski: Or if it’s going and looking at those products [indiscernible].
Thomas Amato: Right. Right.
Kenneth Newman: That makes sense. I guess, we’re always kind of thinking about who is stockpiling and then just doesn’t need to re-buy for a few months?
Thomas Amato: Yes. I mean, the customers that we predominately sell to in this space are larger CPG type customers. And I just think that they’re selling what they can – what they’re taking from us, filling, assembling, putting into a beautiful package, it’s getting on the shelf, it’s going on e-commerce and it’s getting out to the customer.
Kenneth Newman: Got it. Thanks, again, for all the color.
Thomas Amato: Thank you.
Operator: [Operator Instructions] And it appears we have no further questions. I would like to turn the conference back over to our speakers for any concluding remarks.
Thomas Amato: So thank you for joining us on our earnings call, and we look forward to updating you again next quarter. Please everybody stay safe and healthy, and we’ll talk to you soon. Thank you.
Operator: And once again, ladies and gentlemen, that does conclude today’s conference. We appreciate your participation today.